Amanda Jayne: Good morning, everyone. Thank you all for joining us for our Half Year Results Presentation, whether you’re in the room or online. As always, I will start today with an overview of our first half performance and an update on the strategic progress that we are making and then I am going to hand over to Colin, before wrapping up and moving on to Q&A. So let’s start with the results. As you will have seen from the numbers, we have had a very strong first half, and we have momentum. Aviva is growing. Value of new business is up 13%. Gross written premium is up 6%, and we’ve had £5 billion worth of net flows into our Wealth business. Costs are down 2%, as we maintain our focus on cost discipline and efficiency, and profitability is improving. Own funds generation is up 46% and operating profit is up 14%. And we’ve delivered an excellent overall combined operating ratio of 94%, despite the impact of inflation, which demonstrates the benefits of the scale and diversification of our General Insurance business. Finally, cash generation is good with almost £800 million of remittances delivered in the first half and plenty more to come in the second half. These results are a testament to the progress that we’ve made over the past 2 years in simplifying the business and building resilience. We now have a focused portfolio of high-quality market-leading franchises. And importantly, we’re emphasizing a stronger performance culture that I believe is driving tangible improvements. I think the results speak for themselves. So we are growing in insurance, we are growing in wealth and we’re growing in retirement. In insurance, we’ve achieved double-digit growth in commercial lines, and we’ve shown discipline in personal lines, where we anticipated the impact of inflation, and we priced appropriately, a very strong performance. Health & Protection was up 5% with solid performances in group protection and across our Health business. In Wealth, we’ve delivered over best performing, considering the very tough market conditions, with net fund flows of £5 billion, representing 7% of opening assets under management. And we maintained stable net flows year-on-year in our workplace business. In Retirement, volumes in Annuities & Equity Release are up 12%. And we’ve seen continued activity in bulk purchase annuities in July with a positive outlook for the remainder of the year. UK & Ireland value of new business growth of 13% was driven by a 50% increase in Annuities & Equity Release as BPA margins improved compared to the first half of last year. Now we know we are facing into very challenging macroenvironment, but we have strong momentum. And I have real confidence in the outlook for the remainder of 2022 and beyond. So turning now to capital. Our capital position remains very strong, and Colin will go into this in more detail later. But our pro forma coverage ratio of 213% means we currently have significant headroom above our 180% target level. We also have healthy center liquidity, supported by sustainable cash generation from our businesses. Our asset portfolio is well positioned with diversification across asset classes, strong credit ratings and low loan-to-value in our commercial mortgage portfolio. Today, we are announcing an interim dividend of 10.3p per share, which is in line with the full year guidance that we have given, and reflecting our confidence in the strength of the business and the underlying cash flow. Beyond our ordinary dividend, there is also scope for additional capital returns. I’ve been clear on how we think about surplus capital, but let me repeat it again now. Surplus above 180% is available for investment in the business and/or tactical bolt-on M&A to drive further growth. The bar for both is, as I’ve always said, high. But we will move if we identify the right opportunities as we did with the recent acquisition of Succession Wealth and Azur’s high net worth business. But where we can’t achieve sufficient values through reinvesting in the business or through M&A, surplus capital will be returned to shareholders over time. So as we announced this morning that we anticipate returning further capital to our shareholders following the year-end via a new share buyback program, which will, of course, be subject to market conditions and regulatory approval. And our preference is that the returns of the surplus capital will be sustainable and regular over a number of years. But before you all get your calculators out, as Colin will explain, a significant element of the improvement in our capital is derived from short-term market movements, especially in interest rates. So we will need to be thoughtful and prudent about the appropriate amount and cadence of that capital return in this context. So moving on to our strategic priorities. In March this year, we set out our plan to transform the performance of Aviva. And while the world has changed significantly since then, our strategy has not. Despite the very real macro challenges, we believe, our direction is still the right one. And we’ve been busy delivering on the four strategic priorities. To remind you they are customer, growth, efficiency and sustainability. And with the progress and momentum that I’ve already highlighted, I’m confident that we remain on track to deliver on the higher cash generation, own funds generation and cost reduction targets that we set out in March. So let’s just review each of these 4 priorities in a bit more detail. Putting customers first is absolutely central to our strategy. We want more of them to stay with us for longer, so that we can look after more of their needs and do that brilliantly. Only Aviva, with our unique model and our breadth of capabilities can do that. We’re supporting our customers. In February this year, we had three storms in 1 week in the UK, receiving over 19,000 claims. We mobilized all of Aviva, including Canada, to manage these as quickly as possible, settling 10% of claims on the day. That’s when Aviva in action and it makes a real difference for our customers, we have made over 100 improvements to MyAviva and the Aviva Connect and had 0.5 million new MyAviva registrations in the last 12 months. This is good news because these customers are twice as likely to buy a second policy from us. And we are seeing the benefits of our actions in our ability to grow our franchise. We have 18.5 million customers, including over 15 million in the UK. In the first half, we have added over 150,000 customers in workplace alone and benefited from strong customer retention across our key lines. And finally, our progress is being recognized by our customers and intermediaries as evidenced by our results, the multiple awards and our number one ranking with brokers and IFAs. Now moving on to growth. Our strong revenue performance is a result of our simpler, more focused business, and we benefit from scale and diversification, which underpins our profitable growth as a group. But we can’t rely purely on existing revenue streams. We’re actively exploring new growth opportunities. In commercial lines, we’ve increased underwriting capacity for regional brokers and extended digital trading in the UK. In Canada, we have launched a multinational proposition for Canadian-owned businesses. We’ve extended our partnership with TSB to offer home and traveling insurance to TSB’s 5 million UK customers. Aviva Zero, our new green motor proposition in UK motor with in-built carbon offset launched in March and has already sold over 10,000 policies and is growing exponentially. In Wealth, we have enhanced our Master Trust proposition and launched open banking functionality. And there are many more innovations and growth initiatives in the pipeline. So we should turn now to the important topic of efficiency. Our growth has to be controlled and efficient. First half controllable costs fell 2% as we maintained our cost discipline. With inflationary pressures high across the world, it’s tougher to keep our net cost reduction, but we remain ambitious. We are simplifying customer journeys, reducing property costs, outsourcing in Aviva Investors, streamlining our IT and our product set, and all of those things generate efficiencies. We have taken all of the actions necessary to meet our previous cost reduction target by the end of this year. And we are now very focused on delivering the £750 million target that we announced in March. And we also remain committed to delivering top quartile efficiency for our customers and realizing more of the benefits of scale. All of this points to a new and permanent culture of operational efficiency that we are embedding across the group. So finally, on sustainability. We are now ranked fifth among global insurers by Sustainalytics, which is well ahead of our UK peers. Aviva Investors has upgraded 88% of its European funds to meet the EU sustainable product definition. That’s around £50 billion worth of assets under management. And we’re supporting our customers, communities and colleagues as the UK wrestles with financial inclusion and the worst cost of living crisis in decades. We have committed £15 million to community investment to provide advice and support to vulnerable people and vulnerable businesses. We continue to make it easier for our customers to protect themselves by providing affordable, but robust product options and extending premium deferrals. And we are supporting 7,000 of our colleagues with a one-off payment to help them with rising energy costs. So it’s been a strong start to the year, but we don’t operate in a vacuum. We know that it is tough out there. But we have excellent momentum and the benefits of our scale and diversified portfolio give us confidence that we can deliver for the remainder of the year and beyond. We’re doing what we said we would do, one quarter, one customer at a time. So now I’m going to hand over to Colin and he is going to take you through the financials in more detail.
Colin Simpson: Excellent. Thank you, Amanda, and good morning, everyone. It’s great to be back in London for another results presentation, although it was a little easier from the audience. As Amanda explained, these results validate our strategy. We are focused enough to generate strong performance where we operate and sufficiently diversified to withstand challenges in any one particular line. Importantly, our balance sheet is strong. We’ve had an excellent first half. Own funds generation is up 46% to £0.5 billion. Operating profit is up 14% with underlying up even more, and controllable costs are down 2%. Our capital position has improved during the second quarter to 234%, 213% on a pro forma basis and center liquidity is £2.7 billion, improved by cash remittances during the period of £800 million. From a trading perspective, revenue growth is strong with Life VNB up 13%, £5 billion of Wealth net flows and General Insurance gross written premium up 6%. Profitability is also attractive with Life own funds generation at 51% and a General Insurance combined operating ratio of 94%, particularly positive when you take into account the impact of claims inflation. Let me start with our capital position because that underpins our commitment to our customers and shareholders. We started the year with a 244% Solvency II ratio. We paid shareholders over £4 billion in B shares and dividends. But importantly, we have generated £0.5 billion of operating capital. The real kicker to our solvency ratio has come from market movements as interest rates, spreads and ForEx have pushed up our cover ratio to 234%. When you take into account the £1 billion of committed debt reduction, payments into our staff pension scheme and the consideration for Succession Wealth, our pro forma ratio falls to 213%, which is clearly materially above our 180% target. Consequently, and as we have announced today, we intend to consider returning further capital to our shareholders and expect to announce a new buyback program with our full year results, subject, of course, to market conditions and regulatory approval. I would further caution that in determining the level of buyback, we will also need to evaluate how much of the surplus created by market movements is appropriate for distribution. As Amanda said, we will be prudent when it comes to distributing capital created by market movements. While I expect return of capital to be of interest today, as a management team, we’re really focused on return on capital. Profitability is improving, capital-light products are growing faster than capital-intensive ones, and we continue to right size our customer base – our capital base. UK Life had a single-digit return on capital in the first half of the year. But historically, BPA origination and our actuarial assumption review has typically led to a more profitable second half. We expect the same in 2022. Canada is our highest return business pre-diversification benefit. Post diversification, the return is even higher. Today, we are reporting a 10.9% group return on equity post leverage of diversification. And if we exclude our Heritage business, which is low return on capital, but a sizable cash generator, the return increases to 12.3%. For a group trading around Solvency II book value, we believe this offers investors significant value. While it has been a strong capital generating period for Aviva, we are not oblivious to the deteriorating economic conditions. We have a large balance sheet with significant credit exposure that we manage actively and prudently. Bear in mind that we have been operating under difficult economic conditions for some time, and our asset risk is completely different following the sale of our European businesses. You can see from this slide that our largest asset class is corporate credit, of which 87% is externally rated investment grade and 13% internally rated. We have a long history in private debt with a robust internal credit rating model, and these internally rated assets are secured loans with an average rating of single A quality. Over the past 6 months, we’ve seen very few credit downgrades. But obviously, what happens next is most important. We’re monitoring the portfolio closely and maintain significant credit provisions. Another area of focus is commercial mortgages, where we have a £7 billion portfolio. As a reminder, we’ve been offering commercial mortgages for decades and typically enter into long-duration, fixed rate contract posing limited refinancing risk to our borrowers. Our experience gives us an advantage in origination and management, and we’ve been actively restructuring this portfolio in years, which has significantly improved our loan-to-value ratio, which you can see from the slide. I am sure you will also be interested in how inflation affects us. And again, we’ve been monitoring this closely. Of our £260 billion of insurance liabilities, the vast majority are either unit linked or fixed payout with no inflation risk to shareholders. In the UK Life business, we have £26 billion of inflation-linked liabilities, which are matched by inflation-linked bonds. In General Insurance, there is a clear inflation risk, but nobody is surprised by that at Aviva. In UK motor, used car prices have increased around 30% in the second quarter, and we’ve seen double-digit increases in repair costs, resulting in a spike in motor claims of around 12% – motor claims cost of around 12%. Now across the broad range of products distributed in the UK, inflation is running at 7% to 9% with higher inflation and physical damage. We have been racing ahead of inflation, which has seen us lose volume with our retail motor book down 4%. This same book of business had a 97% combined ratio. In other words, we shrunk into a deteriorating market where we could not achieve our required return on capital. In Canada, injury is a bigger pay – bigger component of payout and policy limits do contain inflation to some extent. And across both Canada and the UK, we’re seeing lower injury inflation compared to physical damage, but it is too soon to give the all clear on injury. And you can expect us to stay very close to trends in this area. Importantly, across our General Insurance portfolio, we have reevaluated trends for inflation and when necessary adjusted reserves for business already written. We have increased prices for new business. My final point on this slide is on outstanding debt. Following our £500 million debt raise in June, we could go until 2024 without refinancing. In a volatile market of higher rates and wider spreads, this is a good place to be. So overall, as a group, we’re not particularly sensitive to inflation. Now on to the businesses. Our largest business of UK & Life, led by Doug Brown, has three clear revenue-generating areas of Insurance, Wealth and Retirement. In Protection & Health, sales are up 6%. Individual Protection is down 7% as a result of the more subdued housing and investment markets, but Group Protection is up 31% and Health up 8%. Our Wealth business is £140 billion of assets under management. And during the period, we added £5 billion of net flows, mostly through workplace, which is benefiting from low unemployment and wage inflation. Our resale platform business still generated £2.3 billion of net flows, but recent flows are lower, reflecting volatility and the cost of living challenges on our customers. And in Retirement, we wrote £1.9 billion of bulk purchase annuities in the period on higher margin. Individual annuities continue to trend lower, but with higher interest rates, we could see stabilization, if not growth in this product line. And the equity release has grown 27%, reflecting an enhanced proposition and the current economic conditions. The team has done an excellent job on efficiency, reducing costs by 6% in difficult conditions. We have spoken a bit about our General Insurance business already – our UK General Insurance business already. We’ve managed volume in personal lines during a difficult period and grown into the hard market of commercial. Our personal lines combined ratio is 97% and commercial lines, 94%. We’re seeing the benefits of higher reinvestment rates flow through into operating profit and weathers turned out to be broadly in line with long-term average after a difficult start to the year. In what is a challenging retail market, Adam Winslow and his team are managing the cycle and delivering an attractive return on capital. Going forward, it appears that the motor market is showing signs of hardening and we’re still seeing attractive conditions in commercial lines. Moving to our Canadian business, led by Jason Storah, performance here continues to be very strong. Gross written premiums are up 6% in local currency, 12% in sterling. Cost of 94% in personal lines and 87% in commercial reflect relatively benign weather and the attractive position we find ourselves within the cycle. While Canada has generated more profit than the UK and Ireland, the cycle and weather are more extreme, leading to potentially more volatility. The underlying cause of the two businesses are actually not that far apart. And as a group, we produced a 93.7% underlying combined ratio. Aviva Investors profits do not reflect the progress being made within the business, as Mark Versey and his team continue to focus on sustainable investment while improving efficiency. The various disposals have impacted funds under management, but in very difficult conditions for the asset management industry, we have generated positive external fund flows. Excluding one-off costs, we have also maintained profit levels. Importantly, Aviva Investors remains on track to deliver its illiquid origination targets for the year, supporting our growth ambition in the UK bulk purchase annuity market. Now before I hand back to Amanda, let’s take stock of our external targets and progress towards them. With strong solvency and operating performance, we’re confident in hitting our remittance and capital generation targets. Costs are down 2%. And while inflation is a major headwind, we’re focused on reducing £750 million of costs by 2024. Our dividend is in line with our commitment. And today, we’re letting you know of our intention to return more capital through a share buyback program. We’re behind on our 10% growth ambition and wealth net flows well ahead in VNB growth. Our better than 94% combined ratio target looks within our grasp, probably a bit sooner than we expected. All in all, Aviva has made excellent progress, but there is still so much more to go for. Back to you, Amanda.
Amanda Jayne: Thanks, Colin. So before we get to Q&A, let’s just take a quick moment to wrap up. We’ve had an excellent start to the year, Aviva is growing, costs are down, profitability is improving and cash generation is good. But we know it’s a difficult environment out there. However, I do strongly believe that we are best positioned because we do have leading franchises. We have a formidable brand, and we have the combination of Insurance, Wealth and Retirement, which clearly brings benefits as is evidenced by the numbers that we are reporting today. We have the right strategy to unlock the unique advantages of our model, whether that’s across the customer scale, the diversification, and I believe we’re executing on that. And finally, and importantly, our balance sheet is strong and resilient. We’ve set out an attractive dividend and capital management framework and shareholders have the prospect of additional capital returns. But we do believe this is just a beginning. There is such a lot to still go for to satisfy our big ambitions. So we have the strategy, we have the leadership. We have the people in place to deliver on Aviva’s promise like never before. So thank you for listening. I’m sure there are lots of questions. So we’re going to move to Q&A. Now we have some people on phone lines, and obviously some people in the room. So pleased, if you’re an analysts dialed in on Teams, can you click on the raise your hand button if you would like to ask a question, which I’m sure we’re all more than familiar with. And when we call your name, you need unmute your line to speak. But first, I am going to start in the room, so just give me a moment to just get settle down. And we will start with questions in the room. So please, when you lift your hand, and you say who you are and where you’re from. That’s more for the benefit of the people online.
A - Amanda Jayne: So Farooq, can I start with you, please?
Farooq Hanif: Thank you very much. Farooq Hanif from JPMorgan. Just three questions, please. So on your annuity business where your profitability has really improved, could you give us an idea on an IFRS basis, the kind of improvement in new business profit versus in-force? And is the driver there really just asset origination or is that kind of underlying margin trend? Secondly, you increased reserves as we saw in your combined ratio, what kind of underlying assumptions are you making there? I mean, are you happy with what you know that that’s kind of enough? And then last one is just your sense of the pricing momentum in motor in the UK I mean, your peers are talking about similar double-digit levels of growth in new business pricing, but just across the whole piece, in-force and new business, do you feel like inflation is now being met? Thank you.
Amanda Jayne: Okay, thanks, Farooq. So I’ll pick up the third question and Colin will do the first. Do you want to start, Colin?
Colin Simpson:
Solvency II: On the increased reserves in GI, look, we’ve been saying this for quite some time, baselines are quite difficult. We had COVID frequency to handle. Now we’ve got inflation. And so it is quite – it’s clearly – I mean, it is going to be a moving piece, but you did see some reserve movement with inflation. We did have to increase reserves on the back book. And we’re staying super close to it. I mean, it’s just – it’s a massive focus for us. And – but naturally, my view is to say when there is uncertainty, actuaries tend to be on the side of prudence.
Solvency II: On the increased reserves in GI, look, we’ve been saying this for quite some time, baselines are quite difficult. We had COVID frequency to handle. Now we’ve got inflation. And so it is quite – it’s clearly – I mean, it is going to be a moving piece, but you did see some reserve movement with inflation. We did have to increase reserves on the back book. And we’re staying super close to it. I mean, it’s just – it’s a massive focus for us. And – but naturally, my view is to say when there is uncertainty, actuaries tend to be on the side of prudence.
Amanda Jayne: And on the point around inflation, I think if we look at the general insurance business, whether it’s in the UK or in Canada, we have sort of approximately split 50-50 in the UK, half of the business is commercial lines. And as we commented in March, you’ll remember that we have indexation clauses on the vast majority of those products. So as well as the rate increases, which Adam and the team are putting through on commercial lines, which is about, I think, around 8%, you have got the benefit of indexation. In personal lines, we were also benefiting from the diversification between motor and home. And particularly, in our partnership deals on home we will have contractual mechanisms to sort of manage our profitability. But as far as inflation is concerned, we’re rating ahead of inflation. We’ve put 12.5 points into motor, in the UK. And in Canada, of course, it’s done slightly differently because of the regulatory environment where we’ve unwound about 12 points of benefit that was given post frequency, so at sort of similar levels. And we’re seeing inflation levels in line with the rest of the market, which is sort of anywhere between 8% to 12%. But I think we’ve been very, very disciplined. This was not a surprise. We started talking about this last October-November. I’ve been very clear with the teams that we need to get ahead of it. The link between the claims teams and the underwriting teams is really robust. We’ve got incredibly advanced pricing models. So we use machine learning. We have been using that, very sophisticated. And I think we are on top of it. Now of course, things are constantly changing. Inflation is moving. So we will continue to price that. We will probably put more pricing this month, and we will continue to do that in motor. On home we’ve put around 8 points of increase in the home book. And again, we believe that, that’s the right amount for inflation that we’ve seen so far. So no, it wasn’t a surprise. The teams were set up to deal with it. We are watching it as it progresses. But clearly, things are changing constantly and we’re just keeping ahead of it. We have sort of weekly stand-ups on this, Adam and Jason, both sat here with their teams to make sure that they are keeping on top of this environment. And I think that’s really been a positive thing for us. Thanks, Farooq. And Oliver, could I come to you, please?
Oliver Steel: Oliver Steel, Deutsche Bank. Thank you very much. So two questions from me. The first is coming back to capital – excess capital and excess cash and how much can be returned. I’m assuming that the cash remittance targets were set before you assume that interest rates were going to rise quite so sharply. So are you – if you’re going to release any of the market moves in solvency, are you implicitly going to have to raise the cash target? Because if not, effectively, the – any share buyback is going to come out of organically generated cash. Second question is, can you talk a bit about illiquid sourcing and where you’re allocating that between – I mean, you talked about 60% of new business getting into illiquids, but can you sort of talk a bit more about the allocation between new business and in-force?
Amanda Jayne: Thanks Oliver. I’ll pick up the first question and Colin can pick up the second question. So the capital and excess cash and how much to return, I’m sure we all get asked the question. We already have been a number of times today. I think to just go back to Colin’s slide which showed where the excess capital has come from. We have obviously seen significant excess capital come from interest rate movements. And in fact, if you look in July, where we saw certain interest move slightly at the way, we saw the solvency ratio reduced by 7 points just from that July movement. So I think just to give you an idea of what those market movements can do. And we’ve made it very clear, we do not anticipate the market movements element as being a proportion of that capital return, certainly in the short-term. I think that what we’re focused on, I’d go back to the words that I used in the opening is around sustainable and regular. But also, what we don’t want to do is starve the business of investment. So the way we look at the excess capital is above the £180 million, it’s available for three purposes. The first is investment in the business. And in March, we outlined an additional £500 million of investment, £300 million to grow the business and £200 million on efficiency over the next 3 years. So the business has already got a significant amount of investment in it. And that’s on top of the underlying investment in the business, which is between £400 million - £450 million a year. So we think that the business has got enough investment to deliver the targets that we’ve put in place. On M&A, the bar is high. I reiterated that but we’ve still been able to buy Succession Wealth, which is a very strategic deal for us, which we will complete this week, and the Azur business, which puts us as number one in the high net worth markets in the UK. And we bought that out of excess capital. And we still believe that we could continue to do M&A of that size out of excess capital. And so, effectively, the share buyback, we believe there is still going to be excess capital, which has been generated from the business over and above that, which we could use for the share buyback, which will commence at the full year results next year. So we are trying to manage expectations. We recognize the Aviva of the past of over distribution. We are not going to go there. It will be prudent. It will be sensible. I’m using the word sustainable regular. I know it’s going to get really boring and you’ll all go nodding, give us the number. But we can’t give you the number because we’re sort of 6 months ahead of that, and you know the market conditions are changing all out. So hopefully, that gives you enough of a guidance. Thank you for your question. Colin?
Colin Simpson: On the liquids. Yes, Oliver, actually, we’ve done quite well in origination in the first half. We haven’t used all of it, but we haven’t put what we haven’t used towards the back book. We’ve actually warehoused it in anticipation of a stronger second half. So hopefully, better margins to come on BPAs.
Amanda Jayne: Ashik? This is good. Everybody pass along their own microphone.
Ashik Musaddi: Thank you. Ashik Musaddi from Morgan Stanley. I mean, just one question about capital, sorry, again, going into the excess capital. I mean, it’s clear that returning excess capital, which has come from interest rates may not be a prudent thing to do. But I just want to check, I mean, can you deploy it within the business through accelerated growth in annuities or GI or would you say it all depends on where the market opportunities will be? So how do we think about that deployment of the surplus solvency? That’s one.  Second thing, I mean, your dividend growth guidance outer years is basically low to mid-single digit. Now what I want to understand is – what does it take to move it to mid to high single-digit because, I mean, given that you’re thinking about the regular and sustainable buyback now, I would say 2 to 3 points of DPS growth will just come from lower share count. And I would believe that you would have some growth plans for your underlying business as well. So what would it take to move that number from low to mid-single digit to mid to high single-digit? So the second question. And third question is, I mean, any thoughts on second half combined ratio, I mean, less than 94%. I mean, Colin later remarks were that you still feel confident about the less than 94% for full year. Would – any thoughts on that? Thank you.
Amanda Jayne: Okay, thank you. I’ll pick up the first two, Colin, you can pick up the question on combined operating ratio. So in terms of the deployment of the surplus above the £180 million, I think as I – I just would reiterate the sensitivity of that to the interest rate moves and the significant proportion of that, Colin’s got a famous slide at the back, which articulates that, Ashik. So I think we just need to watch, and we just need to make sure that, that is going to be maintained. On saying that the business has plenty of capital to utilize to grow and to improve efficiency, and Doug has got capital to grow the Wealth business, to grow the BPA business. Adam and Jason have capital to grow the General Insurance business. You’ve seen commercial lines is growing really well in both the UK and in Canada. And so I do not believe in any way that the business is starved of capital as we speak. On the point around the dividend, look, I mean, we sort of don’t want to get ahead of ourselves on this point. We’ve only just set the new dividend policy in March. And I think we said at the time that we wanted it to be attractive, but also sustainable. And it was set at a level that we knew that we could afford that would be well covered from the cash that we generated within the business. And we do not want the history of over commitment to repeat itself. I’m really absolutely adamant that we will not do that. And we’ve done more than others have done. And we’ve given you clarity on what we believe the dividend payment is going to be over the next 2 years. And also today, of course, we’ve also told you about the excess – the potential excess capital with share buyback. So I would really say, let’s see how things go. We want to deliver, we want to do what we said we’re going to do. And I think it’s just too soon to be talking about any future dividend policy having only just set it a few months ago. And Colin on the COR?
Colin Simpson: Yes. Ashik, it’s sort of related to the answer to Farooq. It is quite difficult to make predictions in General Insurance at the moment. There is lots of moving pieces. I mean in the UK, you’ve seen how dry it is. So we’re keeping an eye on risk of subsidence. And before you get worried that subsidence event here has been about £5 million to £10 million adverse. So it’s not going to be – it shouldn’t be a major event, but there is a lot of uncertainty. The other thing is that in Canada, second half is generally less profitable than the first half, and that relates to both the cut season and the injury trends. So we’re not – it’s not in the bag yet. So we’re remaining cautiously optimistic on the call.
Amanda Jayne: Thanks Ashik. Alan?
Alan Devlin: Thanks. Alan Devlin from Goldman Sachs. A couple of questions. First of all, on Page 14 on your solvency turn on equity. Is that improvement, how sustainable is that improvement? I know Colin said H2 for life should be stronger than H1, but then you just mentioned GI could go the other way. And actually, how important is this kind of metric, it’s not part of your kind of key targets, but presumably does actually underpin everything in the cash target, etcetera. And given the Heritage is such a drag on return on capital, would you consider selling that given that it drags both your growth and your returns and is probably the reason why, as Colin said, your stock is trading on own funds? And then secondly, just on the leverage – or the deleveraging, sorry, any timing for that £1 billion of deleveraging? And should we assume it’s just a natural retirement of debt as it comes due in the next, I think, in 12 months’ time? Thanks.
Amanda Jayne: Thanks, Alan. I’ll now pick up the point around selling Heritage, and then I’ll leave Colin to answer the other two. I mean, no, we’re not going to sell the Heritage business, we’ve said this many times before, and it’s a really, really important cash generator for the business. But more importantly than that, it’s also has customers that will help in the growth of the Wealth business. We’ve just purchased Succession Wealth and put a part of the key thesis of that was that we would work with those customers on providing propositions for them. And those customers sit within the Heritage business. And Doug and the team have been actively looking at how we provide a wider proposition for those customers. And we are – we really believe that we’re close on that. We’ve done some very, very interesting work already. And I’m sure we will have more to say on that in the future. So to just reiterate to no to that. But Colin, if you can pick it?
Colin Simpson: Yes. The return on capital point, it’s something certainly we’re actually really passionate about. We just don’t make a big selling down side of it. You did point out general insurance, well, that’s uncertain. But in the UK life business second half is a lot more profitable than the first half typically, and that’s because of the BPAs and the assumption review. So we focus on what gets measured, gets done and it’s important, and we hope to sustain a much higher return going forward.
Amanda Jayne: On leverage, Colin?
Colin Simpson: On leverage, look, it’s – you can look at our debt profile. We’re not going to make any comments on specific tranches that come to you but you can expect it’s a fairly comfortable position and no need to rush anything.
Amanda Jayne: Okay, thank you. Andrew?
Andrew Crean: Hello. It’s Andrew Crean, Autonomous. It’s nice to see the presentation with Aviva up 7%. A couple of things. Strategic investments, so three strategic investments. Could you just give us a bit of your thinking about how long you want to hold these things for? And secondly, on the expenses, down 2%. Is that the sort of – do you still believe that as we come into ‘23 and inflation pushes that you can still keep expenses going down as you target that £750 million. And thirdly, I suppose reverting to Oliver’s question. If you’re not changing the operating cash remittances or the cash remittances, but you are increasing the capital return. Could you give us some idea as to what the payout ratio of the cash remittance is after essential costs and all those jazz is. Or should we expect one-off lifts in cash remittance as excess is pushed to group in order to fund that?
Amanda Jayne: Okay, thanks, Andrew. I’ll pick up the first two, Colin if you pick up the third question. So on strategic investments, you’ll have noticed, Andrew, that we’ve actually called it international investments now because I think if calling them strategic investments probably put a little bit too much emphasis on those JVs. So we have three JVs, one in India, one in China and one in Singapore. So obviously, the timing of the exit from Singapore, we always know that there was going to be an exit because we’re in that – we have – the JV partner is private equity. So we don’t know anything about the timing of that. I am assuming that would be at some point during the window for their exit. As regards to the other two, there was a long-term JV partnership. We believe that the – there are opportunities in those markets. The Indian share, we have increased to 74%, in line with the new guidelines or the new rules there, because obviously, we have more influence if that is the case. And in China, obviously, we have the relationship with Costco. So, no timeline on doing anything, but obviously, we are actively managing those investments, as you would expect us to do. On expenses, so the 2% cost out, I think that was important for us to show that we had cost discipline. And so it came from things like reduction in IT applications, more customers digitally transacting rather than sort of us doing it for them. We have reduced the number of our products in personal lines by around 56%. Our property footprint is reduced by 36%. So, we do believe that there is a sustainable underlying cost out. I mean you saw the work that Doug has already done in the life company and Adam and Jason are doing the same. Mark has announced an outsourcing deal, which is an important part of Aviva Investors cost transformation. So, once we do recognize that the market is going to be difficult, the inflationary environment is super tough. We are really focused on getting the benefits of our scale and our diversification. And we will maintain our focus on that. The £750 million is absolutely within our grasp. What that number becomes net, I think it’s impossible to say at this point in time because we simply do not know what the inflation number is going to be. But we are not coming off that target at all. Colin?
Colin Simpson: Yes. Similar to Oliver’s point, I think I will answer it in a slightly different way. There is lots of capital in the subsidiaries, depending on the size of the buyback that we choose to do, the remittances may well be flexed because there is no real constraint at the moment on subsidiary capital level. So, I wouldn’t try and give you a remittance ratio to try and infer anything from that at the moment will be quite dynamic depending on where we get to the end of the year.
Amanda Jayne: Okay. I am actually going to go to the phones now. So, James Shuck is on the phone. So James, please, if you could un-mute and then ask the question.
James Shuck: Hi. Good morning. I hope that you can hear me. I have three questions, please. Firstly, in terms of the bolt-on M&A that you are targeting, could you just outline a little bit the kind of the areas you would look to strengthen the franchise just in general terms. So, is this kind of more additions on the advisory network side, specialty commercial lines? Is it tech-enabled companies? And then secondly, it’s a slightly different way of asking questions that’s been asked before, but just on the own funds generation, the target of £1.5 billion by 2024, again, that number was set in a different interest rate environment, a different macro environment. Are you able to give any flexibilities or sensitivities for how that responds to credit spreads and higher interest rates? So, I would have thought given the environment we are living in now and given the strong growth in value of new business that, that OSG target should be a little bit higher in this environment? And then my final question, just intrigued by Colin’s comment around return on capital on personal motor. So, you have a 97% combined ratio in that at the moment. When you look at the return on capital, do you look at that fully loaded for ancillaries and add-ons, or do you look at it on a standalone basis only for personal motor? And what is the return on capital that 97% combined ratio generates, please? Thank you very much.
Amanda Jayne: Thanks James. I will pick up the first point on bolt-on and Colin, are you okay with the second too, right. So on – the way that we look at M&A, I mean I would really be guided by what we have done so far here. So, if you look at Succession Wealth, we recognize that we had a big gap as far as advisory was concerned. And we looked at where the value was created on the value chain, and we saw that there was a big opportunity for us to fulfill more of our customers’ needs with higher-margin propositions. And therefore, the acquisition of Succession Wealth is a really, really important part of that. 6 million customers within the life company that we believe, we have the opportunity to sell and advise more products on. And of course, Succession will continue to do M&A. So, they will continue to buy advisory firms around the UK, that is their modus operandi. That’s what they have been successful at, and they will continue to do that even though they are owned by Aviva. And I think you also mentioned tech-enabled. So, here our preference is that very much to have partnerships with some of the insurtechs or the fintechs rather than the owners of them. I think big insurance companies are not good owners of tech-enabled businesses like that. We tend to kill them within about three minutes of them arriving and all the innovation disappears. I think it’s really important that we work with them. We have the customers. They have the propositions, and we sort of work in partnership. And the two, we have an innovation team here that does just that. We were founders. We are part of the Founders Forum, founding founders of the Founders Forum. How you can say that three times, founding founders of – and we work really well with them. And some of the businesses that we are building internally at the minute, so Tembo Money and some of the other business will replicate some really innovative tech businesses that exist in the market. And we are creating those businesses within Aviva. Obviously, we own Wealthify, which is a very successful robo advisor, and that’s part of the Aviva fold. So, we have some of the stuff already. And future bolt-on M&A really would be of the type of things that you have already seen and I guess even the size that you have already seen. The Azur though, acquisition that we did last week was really nice. 2 years ago, we were really nowhere in high-net worth. And now we are the number one player through two acquisitions, we were able to move the team from a sort of pretty lowly positioned to a number one position in the UK. That’s what we plan to do. So, if we look across our product lines, it’s supplement in those areas where we have got weaknesses or if there is a synergy play. And – but I would just reference it is around tactical and bolt-on, not to get too carried away. Okay. Sorry. Go ahead.
Colin Simpson: Briefly on own funds generation, James, no new targets today. Actually, we did £1.2 billion last year. And so it is still a big jump to hit our £1.5 billion target. So, we do want people to be cognizant of that. And then on your return on capital related to motor, we actually don’t even spend our profits related to motor. So, I am not going to give you that number today. Your question on does the core include ancillary revenue, it includes installment income and parts of the ancillary revenue. I mean you have been watching the sector long enough to know that it is quite difficult to compare a cost in the UK But it certainly, we would like – we expect to see the core improve from here due to its current return on capital.
Amanda Jayne: Okay. Thank you. Larissa?
Larissa van Deventer: Larissa Van Deventer from Barclays. Two questions on life book, please. The first one, there is so much set at the moment about the consumer being under pressure. Within the retail annuity book, are you seeing changing patterns in demand? And what is the related impact on margin? And then on bulk annuities, do you – how do you see your strategy in the bulk-annuity space going forward, especially in light of what seems to be a robust pipeline going into 2H and next year?
Amanda Jayne: Okay. Thank you. I think your first question, I didn’t quite catch the beginning we see it around individual annuities.
Colin Simpson: Consumers under pressure.
Amanda Jayne: And consumers under pressure. So, I think on individual annuities, what we would expect to see, I think Colin referenced it when he spoke is that we would expect to see potentially more growth in that area. We have actually seen good external growth over the last six months, not so much from our own book. And then the team are constantly looking at how we price that product because we do believe that it’s going to be an important part of the toolkit for customers as they de-cumulate. On the BPA strategy, I guess we are really lucky positioned here that we are not purely reliant on BPA. BPA is very important to us, but it isn’t our only place that we can generate new business opportunities from. The pipeline does look very strong for the second half of the year. I think we have had a good first half of the year, particularly in terms of the margin, which was better than the first half of last year. And as Colin says, more to come, as we place reinsurance. But we will not be driven by yield discipline, and we will not be driven by volume, we will be driven by quality, and we will continue to be driven by quality because we are in a fortunate position, as I said, of having a diversified book that we can allocate capital according to where we think there is going to be the best return.
Colin Simpson: I know you referenced equity release. I mean that is up as well. And we assume – I know we have sharpened our proposition, but we assume also because of some of the pressures out there. So, that’s up 27%. And then retail fund flows have been coming down more in recent weeks, thankfully, sort of the other side, the corporate pensions piece of the workplace has been very resilient.
Amanda Jayne: Okay. Thank you. And should we go to – Min?
Min Zhu: Thank you. Min Zhu from Credit Suisse. Just three questions, please. First is your BPA. What’s the pipeline outlook for the second half of the year and into 2023? And in H1 and the same as previous 2 years, you have done internal pension schemes. Are there more – how much more are there and potentially it could be there? And my second question is, at the full year, you talked about a comfortable level of central liquidity of £1.5 billion. Is that still the case going forward, would that be one of the constraints for surplus return to shareholders? And my third question is more a follow-up on that. I think Colin earlier mentioned, there is enough capital at subsidiaries. You could remit more to the group level. But won’t that all be sort of reflected in your cash remittance, which also whatever is going to be paid to shareholders as a buyback. Would all of that be reflected in your central liquidity movement? Because I am trying to work out how – where the buyback money come from?
Amanda Jayne: Okay. Thank you. So, Colin, you can pick up the liquidity points. On BPA outlook, I think we just mentioned it in the previous question. We think that the market is strong. I think you have heard our competitors say some of that over the last few days. And we believe our pipeline is strong. And the deep dive session that Mark and Doug did a few weeks ago, we talked about our target of around £15 billion to £20 billion over the next number of years. We haven’t moved from that. We still obviously have the opportunity to do more internal deals, and we have done some of that in the first half, and we will continue to do that should that be the right thing for the trustees and for us to do. We haven’t set a target on that number. So, we think that the market is dynamic, and we think there’s opportunity to do more. But as I said, we will be disciplined, and it isn’t just about top line. It’s about how do we actually manage the margin. And I think Doug and the team are doing a really great job on that so far. Colin, on the other points?
Colin Simpson: So, yes, we have still got a bit more – we have still got quite a bit more of internals and whether we do that in the second half of this year or next year is – remains to be seen. I think, basically, we have said we could do up to £3 billion of internal to go from including the £800 million that we did in the first half. So, it remains a good potential source for the future. Your point on central liquidity, I mean one thing, we have a lot of targets at Aviva, and this is another one. And I think it was really important when we had lots of different businesses and different solvency regimes, and we had to make sure we had lots of capital at the center, just in case we needed to dividend them down. We can afford a bit more flexibility now that we are a much simpler business. So, the £1 billion to £1.5 billion central liquidity is definitely it still applies, and we talk about that. But what’s really important is we have the flexibility and remittances quite easily limited into center to move that. But you are absolutely right. It has to come into a center first before it goes out in the form of a capital return. And ultimately, that relies on the capital generation and capital formation within the businesses.
Amanda Jayne: Okay. We are going to take the next question from the phone. And Greig, if you could un-mute, please?
Greig Paterson: Good morning everybody. Can you hear me?
Amanda Jayne: Yes, we can.
Greig Paterson: Okay. Just the traditional three questions, UK motor, the 97% combined ratio for the first half, I wonder what – if you could give me what the combined ratio was in the first half of last year. And then just walk us through the frequency severity rate and prudent margin waterfall there. So, we understand what’s going on from one to the other. The second point is, I think the £15 billion to £20 billion 2022 to ‘24, bulk annuity sales target was a little bit prudent or light of market expectations. What’s the potential for you to redirect some of that excess capital towards that and boost that significantly or beat that significantly? And the third point is, there has been a lot of chat on interest rates, and you worry about the risk of them being reversed. I was wondering if you had considered hedging the current gains that you have made through high interest rates in terms of the solvency ratio. Thank you very much.
Amanda Jayne: Okay. Thank you. On which one…
Colin Simpson: One and three, I can do.
Amanda Jayne: Pardon?
Colin Simpson: I can do one and three.
Amanda Jayne: Please go ahead.
Colin Simpson: So yes, Greig, 93% combined ratio in motor last year, the big movement that you are seeing is normalization of frequency post-COVID. We can pick up with you later on the recycling of the 10% margin. That is quite a technical question, but absolutely keen to get you comfortable there. But it is mostly a normalization of frequency and then a little bit of reserve addition for inflation, not very much in the UK because of the amount of physical damage reserves there. Your point on hedging, absolutely, we did look at this. Interest rate option market in the UK is not very deep. So, it would be very, very expensive for us to hedge at this point in time. We could obviously lengthen the duration of our asset portfolio to reduce risk. Personally, I don’t think you should look to take off less risk when you have made more money in that sort of fields. I mean you could do that, but I think we should be long-term investors, not necessarily trying to call the market and actually focus on where we create value, which is in our insurance, wealth and retirement businesses.
Amanda Jayne: And just to go back to BPA. Obviously, we see the market opportunity, but we also see many other market opportunities. If Doug can invest BPA capital wisely and you can get a really good margin for that, then he will have the capital to be able to do that. But I think he is also keen to invest in other areas around the wealth and the big opportunities there. What we are trying to very carefully balance is the difference between the capital light and the capital-intensive part of our business. And we are trying to obviously direct capital towards the capital-light elements of the business to balance out that capital intensity because we see that as being very, very important for the future of Aviva. Okay. I think we have got one last question.
Nasib Ahmed: Thanks. Nasib Ahmed from UBS. Sorry, coming back to another target, less than 30% leverage. Is that still – are you comfortable going above if you are doing a share buyback and interest rates rise again, or how are you thinking about that? And then sort of coming back to Alan’s question on sort of doing an early tender on the euro-denominated debt, I mean you have sold your European businesses, is that something on the cards if your debt leverage is a little bit higher in the interim? And then on the sort of net of inflation cost target of £400 million, can you let us know what inflation assumption you were using when you went from the £750 million to £400 million? Thanks.
Amanda Jayne: Okay. Thank you. Colin, I feel like the question is for you.
Colin Simpson: Yes, absolutely. On the 30% leverage, we absolutely would be comfortable going above it, but not for long. We have in the past got ourselves into trouble with high leverage, and we definitely do not want to go back there again. Early tender, absolutely not commenting on any specific debt tranches at this point in time. And then your £400 million cost – your £400 million net of inflation target. We used the inflation at the time. So, I think you can infer that it’s different now. I will answer it slightly differently. From our current estimates, that £400 million looks more like £325 million on a net of inflation basis.
Amanda Jayne: Okay. Thank you. Tom, I do realize you have had your hand up about 100 times, I am sorry. I am trying to do like three things at once. I am not proving very successful at that. Apologies.
Dominic O’Mahony: No problem, interesting results. So, lots of questions clearly. So, Dominic O’Mahony, BNP Paribas Exane. Three for me, if that’s okay. International investments of profit flat as I was expecting it down, great result. Is that a recurring number that we should project forward, or could it grow from here given that, I guess some of the pandemic effects will unwind in H2 and beyond, hopefully? Second question is just on the Wealth segment. Could you just help us understand the way you see margins in the sort of the three different buckets, so platform, workplace, individual pensions? My guess is that individual pensions is sort of a more traditional and slightly higher margin segment. But please, disabuse me if that’s right – if that’s not right. And third question, OCG, I think in the past you sort of indicated that the OCG from the market is sort of a rough driver for the remittance capacity. I think you did £722 million in the half – when I think about an OCG for the full year, my expectation for actually if its full year, would it be reasonable to just sort of 2x that? I guess there are tailwinds, maybe there is some reinsurance benefit in H2. Maybe there is some asset origination benefit, actually, but maybe there is some headwind from higher BPA volumes, which I guess has new business strain. So, should I be thinking about 14-ish for the full year or materially higher or lower? Thank you.
Amanda Jayne: Okay. Thank you. Colin?
Colin Simpson: Thank you. So, yes, operating profit in international, don’t forget currency. The sterling was a lot weakened. So, that’s proved to be quite a nice tailwind for that business. And we had some adverse in India last year that was not recurring. I think it’s reasonable to assume this is a good base to go forward. On the wealth margins, from a revenue perspective, it’s tough out there. I mean the retail margin platform space is incredibly competitive, and we need to continue evolving to maintain our efficiency, and that’s a real big focus for the team. Corporate pension is slightly stickier. But actually, when you look at the revenue margin, it’s been quite stable. The bottom line margin, the operating profit margin has reduced in the period, but that’s mostly due to a cost allocation piece. Don’t think of it as an impact of revenue. And I would take this year’s profits as a good baseline going forward. On OCG, it’s really difficult to give any forward guidance on OCG because not only do you have to try and forecast own funds, which is a little bit more difficult than forecasting operating profit, but you have got to try to anticipate the change in SCR and with the actuarial assumption review in the second half, you can get movements both ways on the SCR, which does introduce a lot of complexity. So, no, I am afraid I wouldn’t say just double up the first half and we will definitely be able to give you more info either the third quarter or the full year.
Amanda Jayne: But just to confirm, we stick to the targets that we set out on cash remittances on OFG and on cost reduction. Okay, so I recognize this is a very, very busy reporting day for all of you, and you have many, many others that you need to get to. Thank you very, very much for coming in. Obviously, happy for you to follow-up either with Colin or I, or with Rupert and the team afterwards. But we just appreciate you coming in. Thank you very much.